Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's Fourth Quarter of Fiscal 2025 Results. [Operator Instructions] Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And I would now like to turn the conference over to Mr. Anderson. Please go ahead.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the fourth quarter of fiscal 2025. On the call today from LifeVantage with prepared remarks are Steven Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, September 4, 2025. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today's release or call. Now I will turn the call over to Steven Fife, the President and Chief Executive Officer of LifeVantage.
Steven Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. We are pleased with our fourth quarter results, including continued growth and improving margins. Revenues increased approximately 13% year-over-year to $55.1 million, driven largely by our MindBody GLP-1 system. Profitability also remained strong, and we delivered 40 basis points of gross margin expansion versus the prior year period. Adjusted EBITDA of $4.8 million was flat versus last year's fourth quarter. While revenues in the Americas region were up a solid 14%, another exciting development was our international business returning to growth for the first time in 12 quarters. For the quarter, revenues in our Asia Pacific and Europe regions increased by 8%. The rollout of MindBody to Japan, Australia, Europe and Thailand beginning mid-March was the key driver for higher international sales and momentum continues to build. Active account metrics reflected the positive trends we are seeing across our business. In the Americas, total active accounts were up 6% versus last year with increases in both consultants and customers. In Asia Pacific and Europe, total active accounts were down versus last year, but increased 3% on a sequential basis as the MindBody rollout led to growth in customers. Average revenue per consultant was up 4% in the Americas and 14% in Asia Pacific and Europe, further demonstrating the early success of MindBody internationally. Acentuating the incredible year we have had is yesterday's announcement that we have entered into a definitive agreement to acquire the critical assets of LoveBiome, a pioneer direct selling company with a growing global sales presence and strong product philosophy. This strategic partnership enables both consulting groups the opportunity for accelerated growth by cross-selling products while LifeVantage realizes operational leverage. Two things primarily attracted us to this incredible company. First, LoveBiome has established itself as a leader in the emerging microbiome health sector, focusing on the critical connection between gut health and overall wellness. The company's innovative P84 product, which launched earlier this year, takes the guesswork out of gut health by regulating, repairing and restoring the gut and microbiome through activation, recognizing that comprehensive gut health is fundamental to health across multiple body systems. The global gut health supplement market is projected to grow from $14.4 billion in 2025 to $32.4 billion by 2035, registering a robust CAGR of 8.4%, making it an attractive category for LifeVantage. P84 also aligns perfectly with our differentiation of activating optimal health processes throughout the body. We feel strongly that LoveBiome's expertise in microbiome science complements LifeVantage's existing portfolio of scientifically validated activators, including our flagship Protandim Nrf2 Synergizer, customer favorite TrueScience Collagen and our newest innovation, the MindBody GLP-1 system. And second, both LoveBiome and LifeVantage believe strongly in the direct sales industry and the empowerment it provides to consultants around the world. The partnership we are entering into accelerates the call to global entrepreneurs to [ Love Life ] with the very best compensation plan, products and community while also accelerating the ability for both companies to scale their growth meaningfully and sustainably. By empowering LoveBiome and LifeVantage consultants through our industry-leading evolve compensation plan with compelling products that address a number of health concerns, we're able to activate wellness, both financially and physically to a broader base of consumers. I commend LoveBiome's Founder and CEO, Kelly Olsen, and his team for continuously championing the direct sales industry while innovating in a growing wellness category. The timing of this strategic acquisition is also a testament to the transformational work the entire LifeVantage team has been delivering in the past 3 years. The success of LifeVantage's LV360 initiatives, which were previously discussed, laid the foundation that now allows for investments into the core business. It's truly an industry-first partnership that scales our path to growth this fiscal year and beyond. Under the terms of the definitive agreement, all critical operating assets essential to the success of LoveBiome members transitioning to LifeVantage consultants as well as the assets surrounding the microbiome health business will transfer to LifeVantage. The transaction structure includes the retention of key LoveBiome personnel with Founder and CEO, Kelly Olsen, and other team members joining LifeVantage to ensure continuity of operations and leverage their expertise in the direct selling channel. We are expected to close the transaction by mid-October upon satisfactory and customary closing conditions and regulatory requirements and plan to be fully integrated by the end of fiscal Q2 2026. Following this strategic transaction, we anticipate our U.S. Momentum Academy being held in Dallas on October 23 to 25 to be a historic event. This will be the first time the 2 active communities will come together in person for training, incentive and product announcements. We'll also be announcing the evolution of our Summer in the Fast Lane campaign. If you remember, we kicked off quarterly campaigns at our Activate virtual event in July to help consultants at every rank build their business by qualifying for new incentives and growing Activation nation. We're excited to introduce LoveBiome consultants to the drive era using this quarterly incentive push. Nothing replaces the energy and momentum that comes from meeting in person, and we anticipate a sellout event. Similar events will be held in several countries throughout the world in October to accelerate a seamless integration of the 2 companies. Not only are we committed to growing our consultant base through the strategic acquisition and our product and compensation differentiation, but we are also committed to delivering the experience modern fast-paced consumers demand in today's market. I'm excited to announce that we've entered into an agreement with Shopify that will further modernize our technology and marketing stack to meet the increasing demand consumers have throughout the entire customer journey. And we've partnered with the very best, most reputable, highest converting e-commerce platform on the market to do so. Simply stated, our Shopify partnership enables significant growth potential for both LifeVantage and our consultants. Shopify delivers increased conversions and brand advocacy through seamless channel experiences, deeper personalization and data insights and greater consumer confidence with things like payment security, checkout reliability and order tracking. For our internal team, it also means greater efficiency, faster innovation and quicker scaling of future integrations. This project is just getting underway with the team wrapping up initial discovery sessions and milestones last week, leading to a full project and rollout plan. We will continue to update you as we progress towards go-live, but are excited about completing this early stage and what this project in partnership with Shopify means for LifeVantage. In summary, fourth quarter results were strong, and our business continues to have a lot of momentum powered by innovation. We've built a powerful dynamic ecosystem focused on holistic wellness, along with a proven model that provides multiple avenues for entrepreneurial success. Our team is highly engaged with an ambitious vision for the future, and we are well positioned for continued growth and margin expansion. The successful global rollout of our MindBody system and this announced partnership with LoveBiome, combined with our strengthened operational foundation and improving profitability metrics gives us confidence in our ability to deliver sustainable long-term value to our stakeholders. Now, let me turn the call over to Carl to review our fourth quarter financial results in detail. Carl?
Carl Aure: Thank you, Steve, and good afternoon, everyone. Let me walk you through our fourth quarter financial results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. Fourth quarter revenue was $55.1 million, up 12.6% on a year-over-year basis. Foreign currency impacted revenue by $0.5 million in the fourth quarter. Excluding the impact of foreign currency fluctuations, fourth quarter revenue was up approximately 11.6% compared to the prior year period. Revenue in the Americas region increased 14.1% to $43.5 million in the fourth quarter, continuing to benefit from the success of our MindBody GLP-1 system. Growth was driven by a 9.7% increase in active independent consultants, along with a 4% increase in total average revenue per consultant. Total active accounts, which includes consultants and customers, increased 6.4% in the Americas during the fourth quarter. Revenue in our Asia Pacific and Europe region increased 7.6% to $11.6 million in the quarter, reflecting the positive impact of our international MindBody rollout that began in March. The year-over-year growth in Asia Pacific and Europe reflected a 13.9% increase in total average revenue per consultant. We are excited to see a return to growth in this region with revenue up both year-over-year and sequentially from the third quarter. Gross margin was 79.9% for the fourth quarter compared to 79.5% in the prior year period. This improvement was primarily driven by lower shipping costs, favorable product mix, including strong sales of MindBody as well as lower inventory obsolescence. Commissions and incentive expense as a percentage of revenue was 42.1% in the fourth quarter compared to 44.9% in the prior year period, reflecting lower incentive-related expenses and the positive impact from changes in sales mix. Non-GAAP adjusted SG&A expense was $18.3 million in the fourth quarter compared with $13.7 million in the prior year period. The increase was primarily due to higher variable employee compensation-related expenses and expenses associated with our global convention and increased marketing investments. Adjusted non-GAAP operating income was $2.5 million in the fourth quarter compared with $3.2 million in the prior year period. Adjusted non-GAAP net income was $2.3 million or $0.17 per fully diluted share in the fourth quarter compared to $1.8 million or $0.14 per share in the prior year period. We recorded income tax expense of $400,000 in the fourth quarter compared to income tax expense of $1.4 million in the prior year period. Our overall effective income tax rate for fiscal 2025 was approximately 20%. Adjusted EBITDA for the fourth quarter was $4.8 million or 8.7% of revenues compared to $4.8 million and 9.8% in the same period a year ago. Adjusted EBITDA in the fourth quarter of fiscal 2025 was impacted by the timing of our annual global convention, which was held in April. Please note that all of the adjustments from GAAP to non-GAAP I discussed today are reconciled in our earnings press release issued this afternoon. Our financial position remains strong with $20.2 million of cash and no debt at the end of the fiscal year compared to $16.9 million a year ago. We also maintain access to a $5 million revolving line of credit. Capital expenditures totaled $200,000 in the fourth quarter and $1.4 million for the full year. Turning to capital allocation. We repurchased approximately 160,000 shares during the fourth quarter at an average price of $12.74 per share for an aggregate purchase price of $2 million. As of June 30, 2025, there is still $17.3 million remaining under our existing share repurchase authorization. On August 28, we also announced a quarterly cash dividend of $0.045 per share of common stock or approximately $600,000 in the aggregate. This dividend will be paid on September 16, 2025, to stockholders of record as of September 8, 2025. Since the beginning of fiscal 2024, we have returned approximately $18.6 million in total value to our stockholders through stock repurchases and dividends. We will continue to focus on our balanced capital allocation strategy in order to drive value for our stockholders. Turning to our outlook for fiscal 2026. We expect our full year revenue will be in the range of $225 million to $240 million. We expect adjusted non-GAAP EBITDA in the range of $23 million to $26 million and adjusted non-GAAP earnings per share in the range of $1 to $1.15 per share. We anticipate revenue in the second half of fiscal 2026 will be higher than the first half of fiscal 2026 due to the seasonality associated with our MindBody product line and the impact of the LoveBiome acquisition. Overall, we are pleased with the continued improvement in our profitability metrics and remain committed to improving our adjusted EBITDA margins to reach our long-term target. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question is from Doug Lane with Water Tower Research.
Douglas Lane: Before we get to the acquisition, which sounds very interesting, I just wanted to go over the fourth quarter and the demand trends there, where $55 million was at the low end of the range and $3 million or so below the midpoint. So where did you -- I don't want to say softness, but where did the disconnect come from the $55 million versus the $58 million at the middle of the range?
Carl Aure: Yes. Thanks, Doug, for the question. Yes. So I think -- yes, in Q4, you're right, things came in a little bit softer than what we anticipated. And it was really primarily, I think, in the U.S. side. I think we started to experience some softness around or the seasonality impact of MB here in the fourth quarter. As you saw in the rest of the numbers, international was still pretty strong, but I think it was just a little bit of continued softness there in the U.S. trailing at the end of Q4.
Douglas Lane: Got it. Got it. Okay. Now on the outlook, looking, I guess, again, using midpoint of the ranges here, Carl, we're looking for maybe low single-digit growth in fiscal 2026. And how much of that is going to come from LoveBiome versus organic?
Carl Aure: Yes. We haven't completely figured that piece out yet, Doug. I mean the transaction is looking to close sometime during the second quarter with integration intended to be towards sometime by the end of the second quarter. And there's obviously uncertainties associated with that all comes together. So I'd say when you're looking at that guidance range that we put out, there is a modest amount of revenue associated with that transaction. So I would say, overall, it's a combination of some organic growth from the current baseline or run rate where we are from Q4 with a moderate amount of anticipated LoveBiome revenue.
Douglas Lane: And LoveBiome, obviously, is a private company. It's a direct seller out in [indiscernible]. I haven't really seen any data from independent sources on LoveBiome. Can you disclose anything with regards to what its sales are or how many consultants it has and what it's really going to bring to LifeVantage here?
Carl Aure: Yes, probably not. As far as any of the current revenue information or the consultants, I mean, I think some of that information will be available at a later point. But at this point in time, there's probably not much that we can discuss on at least with those revenue metrics and the related drivers to their business.
Douglas Lane: How old a business is it? It's still a pretty young business, right? So it can't be that big.
Steven Fife: Yes. They started in about 2022, so about 3 years. And I can tell you, the U.S. is their biggest market, followed by Taiwan, and then they have a reasonable presence in Europe and then a smattering in other countries throughout the world. So they have a large footprint, some overlap with LifeVantage, which I think is a really good thing. The product that they've developed, they've been very singularly focused on the gut microbiome and have several products, but most recently announced in March the launch of a product that they refer to as P84. And it has really kind of changed the trajectory of the company and has energized their consultant base, their customer base -- and as we've looked over the past, we've distinguished ourselves, I think, as a company of activation and our products, most recently with MindBody and prior to that, Collagen and then originally with Protandim Nrf2, all critical activation products for our health and well-being. And we have -- we had identified the microbiome space as a real opportunity for LifeVantage. And in fact, 12, 18 months ago, when we were kind of dual pathing our GLP-1 product and a microbiome, a gut product. And obviously, we decided to go down the path of GLP-1, which we're thrilled with. But based on our research and analysis of the market, we knew it was a growing market. In the press release that went out yesterday, we quoted a research analyst that talked about the current market of $14 billion growing to $32 billion by 2035. So it's a dynamic growing market. One that I think is, well, at the center of health literally in our bodies, but also one that plays into our activation story. And as we met with Kelly Olsen, one of the co-founders and CEO of the company and started to understand their science, their product, their vision of this industry, it aligned so clearly and so quickly with LifeVantage that it almost became a no-brainer to pursue this partnership. And it was just announced yesterday. We had a town hall meeting of LifeVantage and LoveBiome consultants on last night. We maxed out our Zoom capabilities. And so there's a lot of benefits, not just from P84 and LoveBiome's products, but our ability to cross-sell one another's products and obviously, the operational leverage that we'll get through combining the 2 entities.
Douglas Lane: We've been learning a lot about gut health through your MindBody launch over the last year.
Steven Fife: That's exactly right.
Douglas Lane: And I believe that's your first foray into gut health. And it really is...
Steven Fife: We do have a probiotic and a prebiotic product that our consultants, our customers love. But we also see those products continuing and working very synergistically with P84. So from that standpoint, there's not any anticipated product cannibalization. Geographically, although we are in a number of the same company or countries, even in the U.S. where LoveBiome's dominant footprint is more on the East Coast. And so it will actually complement the LifeVantage's footprint. And it's really -- as far as Kelly and I see it, it's a synergistic opportunity for us to really grow in a very sustainable way, good for both companies as we look at this rollout.
Douglas Lane: So maybe just one last and then I'll move on. But could you give us a little -- I don't know much about LoveBiome. I haven't heard of it before the acquisition. And obviously, I don't know much about P84. Could you give us a little color on what P84, how that's marketed versus your MindBody and prebiotic and probiotics?
Steven Fife: Yes. It is really, I'd say, a much more complete and comprehensive product focused on the microbiome. And there's a lot of ways companies and products address this. Most of them are through pre and probiotics, but it's not really getting to the microbiome itself. And so this product, we're already thinking of it as it will -- it does regulate, repair and restore the gut microbiome, not just the gut, but the microbiome layer. And the science is out there about the criticality of a healthy microbiome and its connection points with so many other organs, tissues in the body that having that healthy microbiome is critical to the support. And like you said, there is a direct correlation between our MindBody GLP-1 product, the research that we have done about that in terms of increasing the production of GLP-1 hormone by 200% that we know that our product is more effective when the gut is more healthy. And so I think this, again, ties into that GLP-1 story really well, does not conflict at all that ties in. And I believe when we get to our future studies, we're going to see a synergistic benefit of those 2 products taking them tandem.
Douglas Lane: Well, I have been reading a lot about the microbiome recently. It's certainly become a topic of interest and seems like a very exciting acquisition.
Operator: There are no additional questions in queue. I'll now turn the call back to Steve Fife for closing remarks.
Steven Fife: Well, thank you, everyone, for joining us today. As we conclude, I just want to extend my appreciation to our committed employees, our outstanding independent consultants, stockholders and our faithful customer base. And I also want to welcome Kelly Olsen and the entire LoveBiome team of consultants and customers that may be joining on the call for the first time. We're happy to have you and look forward to building a great success story together. Thank you, everyone.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.